Operator: Greetings, and welcome to the Tenable First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Erin Karney, Vice President of Investor Relations. Thank you. You may begin.
Erin Karney: Thank you, operator, and thank you all for joining us on today's conference call to discuss Tenable's first quarter 2025 financial results. With me on the call today are Co-Chief Executive Officers, Steve Vintz and Mark Thurmond. Prior to this call, we issued a press release announcing our financial results for the quarter. You can find the press release on our IR website at tenable.com. We will make forward-looking statements during the course of this call, including statements relating to our guidance and expectations for the second quarter and full year 2025, growth and drivers in our business, changes in the threat landscape in the security industry and our competitive position in the market, growth in customer demand for and adoption of our solutions, including Tenable One, Cloud Security, exposure management, our ability to expand integrations with third-party tools and data sources, including new capabilities from our Vulcan acquisition, planned innovation and new products and services and our expectations regarding long-term profitability and free cash flow. These forward-looking statements involve risks and uncertainties, some of which are beyond our control, which could cause actual results to differ materially from those anticipated by these statements. You should not rely upon forward-looking statements as a prediction of future events. Forward-looking statements represent our beliefs and assumptions only as of today and should not be considered representative of our views as of any subsequent date, and we disclaim any obligation to update any forward-looking statements or outlooks. For a further discussion of the material risks and other important factors that could affect our actual results, please refer to those contained in our most recent annual report on Form 10-K and subsequent reports that we file with the SEC. In addition, all of the financial results we will discuss today are non-GAAP financial measures, with the exception of revenue. These non-GAAP financial measures are, in addition to and not a substitute for or superior to, measures of financial performance prepared in accordance with GAAP. There are a number of limitations related to the use of these non-GAAP financial measures versus their closest GAAP equivalent. Our press release includes GAAP to non-GAAP reconciliations for these measures. I’ll now turn the call over to Steve.
Steve Vintz: Thank you, Erin. We're excited to share our strong results for the quarter, discuss customer and end-market dynamics and provide our outlook for the remainder of the year. Before delving into these areas, I do want to acknowledge that Mark and I are honored co-CEOs. We are committed to advancing our exposure management strategy and accelerating the expansion of our market opportunities. I also would like to welcome Eric Doerr as our new Chief Product Officer, and thank Shai Morag for leading the product organization over the past year and helping us at an important time. I'm very excited that Eric is joining us as he brings nearly three decades of experience at Microsoft and Google, building and scaling security products and in leadership and developing innovative security solutions aligned perfectly well with Tenable's mission. With that, I'm pleased to say we're off to a great start to the year. This quarter, we beat all of our guided metrics on the top and bottom line. We delivered 11% growth year-over-year and a 36% unlevered free cash flow margin, which reflects our balanced growth approach and ability to drive continued operating leverage in the business. Our outperformance in the quarter also reflects the continued momentum of our exposure management platform, which drove acceleration in new sales, due to a high conversion rate with large deals. In fact, this was our best quarter ever for seven-figure wins, and Tenable One was certainly the catalyst for that success. It's also worth mentioning that on our February call, we highlighted the potential for a more modest Fed contribution this quarter due to uncertainties related to the change in the administration, and that played out as expected. Clearly, enterprises are becoming more thoughtful and strategic in how they invest. These organizations are growing with us, adopting Tenable One to identify, prioritize and remediate exposures across an expanding attack surface and diverse asset types. As a result, we're seeing increased opportunity larger deal sizes, broader platform adoption and greater asset coverage. What's clear is that few vendors can deliver solutions that address the needs of an enterprise operating and a complex multi-cloud hybrid work environment. This is becoming increasingly more important. Our platform addresses a rapidly evolving world, where customers are constantly evaluating the right deployment model to fit their needs. In fact, we're making great progress executing on our product road map as we continue to find ways to break down long-standing security silos, and give organizations a more unified way to reduce risk. Our top priority is expanding integrations with third-party tools and data sources, including new capabilities from our Vulcan Cyber acquisition. These integrations to Tenable One's analytics engine with rich data from application security tools, code repos and more, broadening the intact surface visibility and sharpening prioritization, so customers can focus on what matters most. Now the same rich contractual data is also the foundation of our AI strategy. The power of AI lies in the quality, diversity and history of the data it learns from. And this is where we see a decisive advantage. We believe no vendor in the market can match the depth and breadth of our exposure data we've assembled over the past two decades. This gives us a real competitive moat with a uniquely comprehensive view of risk, spanning assets, vulnerabilities, misconfigurations, identities and more. And that's why we think we are positioned to lead an AI-powered exposure management. We're working towards building the most intelligent, scalable and complete exposure management solution on the market. With these advancements, Tenable One is evolving from a system of record or system of action, closing the loop on exposure management. By not just identifying risks, but also by helping customers act on it in real time. A great example of this is our recent research into the security posture of AI workloads. Our research team found that 70% of cloud workloads, leveraging AI services contain unresolved vulnerabilities. This isn't just an interesting data point. It's actionable intelligence that we operationalize in Tenable One. We're also seeing growing momentum in our AI aware discovery capabilities with many of our customers using Tenable to help secure their expanding AI footprint. While the broader market for securing AI is in the early stages, Tenable is already delivering at scale. In Q1 alone, Tenable One detected 22 million AI-related applications, up from 14 million in the prior quarter. We identified over 160 million instances of AI embedded browser plug-ins. These are not just numbers. They are a testament to Tenable's ability to help customers stay ahead emerging threats tied to AI. We're also investing heavily in remediation to tie exposure to fixes. We're expecting to roll out powerful new capabilities, including directional ticketing and automated workflows to help customers close risk faster, with greater accountability across fragmented environments. In short, we are executing on our strategic initiatives that we outlined at the beginning of the year by accelerating innovation in our platform and expanding our footprint in cloud. We're also already seen progress in both these areas. While there's a lot of uncertainty in this macro, we continue to be a very valuable partner to our customers by helping them reduce risk with greater efficiency across the enterprise. I'd now like to turn the call over to Mark.
Mark Thurmond: Thanks, Steve. Steve underscored a critical point. Our leadership in vulnerability management is not only holding strong, it's driving real acceleration and tenable option. Customers are taking this journey with us. As the threat landscape has evolved, so has the mandate of exposure management. It's no longer just about finding vulnerabilities, it's about understanding how those risks connect across your entire environment. That's why we made deliberate strategic investments to expand Tenable one into a comprehensive exposure management platform, and our customers are responding. This quarter, that partnership was on full display with major Tenable One expansions across industries. We had strong win rates against major players in the VM, EM and cloud space. This is a direct result not just of extending our leadership, but reshaping what exposure management looks like. In Q1, we secured a major federal win with the organization undertaking a global modernization effort. The organization is using Tenable to manage over 1 million assets globally. Hosted in a pirate cloud environment, our solution is providing them scalable centralized visibility and consistent risk insights across their global footprint and essential foundation for enhancing the overall security posture. Beyond the public sector this quarter, we also secured a 7-figure expansion with a global financial institution. This institution was an existing tenable customer, underscoring the value of delivering in a highly regulated industry. These organizations need a unified, comprehensive view of risk, particularly as they put for regulatory audits. In this case, the customer upgraded to Tenable One to support both audit readiness and vendor consolidation across a complex attack surface. The deal includes hundreds of thousands of assets, reflecting a broad market shift. Customers want to centralize control of their environment, and they're turning to tenable to make that happen. We believe this also opens-up significant opportunities as customers beginning integrating third-party security data into Tenable One. Giving them a more complete picture of risk and fueling momentum for platform consolidation and up-sell. By combining our first-party assessments with third-party inputs, we're making it even easier for organizations to manage their full exposure landscape through a single platform. Another significant new customer win that underscores the momentum behind our unified platform strategy and the value of our Vulcan acquisition was with a Fortune 100 customer. This customer has selected Tenable as their North Star for exposure management as part of a broader cybersecurity consolidation effort. They are replacing multiple vendor solutions, choosing to standardize on Tenable. The ability to inject third-party data combined with first-party assessments was the differentiator for this customer as it allows us to deliver insights on holistic risk. We consider this multi-year commitment as a strong validation of our ability to deliver integrated high-impact solutions that align with enterprise needs for simplicity, consolidation and clear ROI. As we said many times now, we see cloud as a critical pillar of exposure management, and this quarter showed exactly why. We landed a seven-figure deal with a global software and services company operating in over 180 countries with a master multi-cloud environment spanning AWS, Azure, GCP and OCI. They needed a smarter, more scalable way to manage risk across their cloud footprint. With compliance pressure rising and thousands of assets to secure, they launched a competitive review of multiple vendors to replace Microsoft deployment. Tenable came out on top. For our fast deployment, seamless multi-cloud integrations and real-time visibility and control across their cloud infrastructure. And under two months, we proved our value. We are managing tens of thousands cloud resources and thousands of identities, helping them strengthen their overall security posture while laying a foundation for a more unified exposure management strategy. The takeaway here is we're seeing exceptional momentum and exposure management and believe we are best positioned to help our customers evolve their solution stack as they implement modern technologies such as cloud, AI, interconnected IT OT systems and hybrid environments. With that, I'll turn it back over to Steve to dive deeper into our results for the quarter.
Steve Vintz: Thanks, Mark. I'll now turn to our results in the quarter, which, as a reminder, includes the impact from the acquisition of Vulcan. Calculated current billings defined as revenue recognized in the quarter change in current deferred revenue grew 9% year-over-year to $215.4 million. As discussed earlier driven by Tenable One, including cloud security. Current RPO grew 13% year-over-year, 400 basis points ahead of CCB growth as backlog accelerated during the quarter. During the quarter, we added 361 new enterprise platform customers and our LTM net new six-figure count was 54%. Our net dollar expansion rate was consistent this quarter 108% and our overall renewal rates remained strong. Now on to the P&L for the quarter. Revenue was $239.1 million, which represents 11% year-over-year growth. Revenue in the quarter exceeded the midpoint of our guided range by $5.1 million. Our percentage of recurring revenue remains high at 96% this quarter. Gross margin was 82% this quarter, flat relative to last quarter and in line with expectations. Going forward, we continue to expect gross margins to be in the high 70s to low 80% range. While we are investing to deliver enhanced functionality and analytics to customers, the scalability of our platform has enabled gross margins to remain constant. Sales and marketing expense was $85.5 million, up from $80.1 million last quarter. And as a percentage of revenue, sales and marketing was 36% compared to 34% last quarter. Sales and marketing expense was higher sequentially on an absolute dollar basis and a percentage basis primarily due to costs associated with our annual sales kickoff conference in February, partially offset by lower sales commissions from a seasonally lower renewal base in the quarter. Looking ahead, we expect sales and marketing as a percentage of revenue to be modestly higher in Q2 due to the industry events and other investments we're making, including sales capacity, and trend lower in the second half of the year. R&D expense was $39 million, which was up from $32.5 million last quarter. R&D expense was higher this quarter in comparison to last quarter, primarily due to increased personnel costs, resulting from the Vulcan acquisition as well as the foreign tax credits we received last quarter. As a result, R&D expense as a percentage of revenue was 16% this quarter, up from 14% last quarter. We expect R&D expense as a percentage of revenue to increase in Q2 due to a full quarter of Vulcan costs with improved margins in the second half of the year. G&A expense was $22.7 million, which was up from $20.5 million last quarter, primarily due to compensation expense associated with the passing of our former CEO and pay taxes which reset at the beginning of the year. G&A expense as a percentage of revenue was 9% this quarter, which was flat relative to last quarter. Income from operations was $48.7 million and exceeded the midpoint of our guided range by $7.7 million. Operating margin for the quarter was 20%, which was approximately 300 basis points better than the midpoint of our guided range. We're very pleased with our ability to drive continued leverage in the business while investing for growth. EPS for the quarter was $0.36 a share, which was $0.095 better than the midpoint of our guided range. Now, let's turn to the balance sheet. We finished the quarter with $460 million in cash and short-term investments, reflecting $149 million of net cash used for the Vulcan acquisition. Accounts receivable was $168 million and total deferred revenue was $808 million. Current deferred revenue was $633 million, which gives us a lot of visibility into expected revenue over the next 12 months. We generated a record $87 million of unlevered free cash flow during the quarter. While this quarter's result was influenced by seasonal timing of collections from Q4 sales, we feel confident that we can continue to expand our operating and free cash flow margins over the ensuing years as we have done so every year since our IPO. During the quarter, we repurchased 1.6 million shares of our common stock for an aggregate purchase price of $60 million. In total, we've repurchased almost 4.3 million shares for $175 million since November of 2023 and have $125 million of remaining authorization. Now, with the results of the quarter behind us, I'd like to discuss our outlook for Q2 and the full year 2025. For the second quarter, we currently expect revenue to be in the range of $241 million to $243 million. Non-GAAP income from operations to be in the range of $43 million to $45 million. Non-GAAP net income to be in the range of $36 million to $38 million, assuming interest expense of $7.1 million, interest income of $4 million, and a provision for income taxes of $3.2 million. And non-GAAP diluted earnings are to be in the range of $0.29 to $0.31 a share, assuming 123 million fully diluted weighted average shares outstanding. For the full year, we currently expect calculated current billings to be in the range of $1.25 billion to $1.45 billion. Revenue to be in the range of $970 million to $980 million. Non-GAAP income from operations to be in the range of $205 million $215 million. Non-GAAP net income to be in the range of $178 million to $188 million, assuming interest expense of $28.4 million, interest income of $16.8 million and a provision for income taxes of $13.1 million. Non-GAAP diluted earnings per share to be in the range of $1.44 to $1.52 per share, assuming 123.5 million fully diluted weighted average shares outstanding. And unlevered free cash flow range of $265 million to $275 million. While we're off to a great start for the year and see real momentum in our business, there is clearly more economic uncertainty in the market now than at the beginning of the year. As a result, we are taking an incrementally more cautious approach with our outlook today. Specifically, we extended the cautious first half outlook we provided in February in the US public sector for the remainder of the year. We also acknowledge that recent US policy actions have the potential to reduce visibility in our enterprise business, which could lessen sales cycles. It's important to note that demand creation and top of the funnel remains strong. Our revised guidance today simply reflects the fact that the world is more uncertain and his ability into when deals close has become murkier since we provided our initial guide in February. We believe our updated guidance appropriately balances these potential geopolitical and economic risks and sets us up for success to the remainder of the year. Our guidance for operating income remains unchanged, reflects our emphasis on profitable growth. We expect operating margins to generally increase throughout the year, resulting in an approximate 100 basis point improvement over 2024, even as we absorb the costs associated with the Vulcan acquisition. Notably, our disciplined approach to balanced growth has enabled us to manage the business in a way that allows us to continue to drive strong margins in multiple environments. As a reminder, we typically update our leveraged free cash flow with our Q2 call, but we continue to expect to deliver $265 million to $275 million of unlevered free cash flow in 2025. With that said, Mark and I would like to thank everyone for joining the call today. We're very excited about the opportunity ahead and look forward to updating you throughout the year. We hope to see you at JPMorgan and D.A. Davidson conferences in the coming weeks. And we now like to open the call for questions.
Operator: At this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Brian Essex with JPMorgan. Please proceed with your question.
Brian Essex: Hi, good afternoon and thank you for taking the question. Congrats to both you and the CEO appointed and it's great to see. Maybe, Steve, if you could maybe touch on the guidance and what you're seeing in the business that's driving that incremental caution? I mean, you mentioned that things from APA perspective, we're a little bit more volatile perhaps than we saw at the end of the year. But what specifically are you seeing in the business? And what's the philosophy around the level of incremental conservatism that you're baking in the guide? Tu/
Steve Vintz: Sure, Brian. Good question. As we mentioned earlier, we did our CCB outlook for the year due to owning macro uncertainty, and that's most notably in our Public Sector business. We're off to a terrific start for the year, we’re pleased with print in the quarter, and top of the funnel remains exceptionally strong. And the one thing I want to be very clear about today is that demand gen in the quarter exceeded our own expectations. And there's certainly more appetite for a broader platform play and expansion within our own customer base. That said, we have to acknowledge what's playing out and potentially could come our way. Subsequent to our last call, we've seen an acceleration in dose-related activities and disruption from a personnel perspective, a lot of disruption, and there are several notable open leadership roles in Fed. And all of that creates the confluence of activities and creates less visibility in our business short-term. We spent a lot of time analyzing and scrubbing our pipeline and taking a data-driven approach to provide our outlook today. We disaggregated our opportunities and look at them by geo, industry, such as Fed and other size of customer and -- we're assuming longer lead times here for procurement decisions. This is most notably in our public sector business. But we're also applying that level -- some level of caution to our enterprise business, which has the potential to be disrupted due to tariffs and geopolitical events. We think this is a prudent approach, and we think this sets us up well for the rest of the year.
Brian Essex: Does that impact your free cash flow? Because you pretty much reiterated you're adjusting for Vulcan, which you said would hit another free cash flow, about $20 million. You're pretty much reiterating your bolt-on adjusted free cash flow for the year.
Steve Vintz: Yes. That's a great point. We're a balanced grower, and we have a strong track record of success, expending our operating margins. And so there's a lot of natural leverage in the business, and we are reiterating our outlook. Despite the visibility that comes with some of these recent policy actions, but we're reiterating our outlook for operating income and free cash flow.
Brian Essex: Excellent. Thank you so much.
Operator: Our next question comes from Saket Kalia with Barclays. Please proceed with your question.
Saket Kalia: Okay. Great. Hey, guys. Thanks for taking my question here. Very helpful answer earlier. There, Steve, on why maybe the CCB guide is changing. But Mark, maybe for you, just to make sure the question is asked, can we just talk a little bit about the competitive environment here in VM. I think we all know your established players. But curious what you're seeing from other players here like Endpoint, for example, in VM.
Steve Vintz: Sure. No, absolutely. Great, great question. When you take a look at Q1, it was actually an extremely strong quarter in regard to the competitive environment. If you kind of break this up and look at just the pure-play VM players, so take a look at their Qualys and Rapid. We had historically high win rates. A couple of the deals that I referenced in the beginning of the call were 7-figure replacements of traditional VM players. So our compete level is extremely high, and that is continuing from the end of last year, and now we're seeing it again this year. So extremely strong. Very, very historically high win rates. In regard to the Endpoint layer, say, a CrowdStrike and/or a Microsoft, same type of trend in regard to no massive shifts or changes in regard to the competitive dynamics. We do see them. We don't see them a significant amount of time, though, compared to, obviously, the traditional VM players. So our win rates are high. Our compete level is very high in that space. And so we're very, very optimistic, especially based on those seven-figure wins. And I think, as you know, right, it takes a lot to rip and replace an incumbent. And to be able to do that on a seven-figure deal, we were pretty excited about what we did in Q1.
Saket Kalia: Very helpful. Thanks guys.
Operator: Our next question comes from Andrew Nowinski with Wells Fargo. Please proceed with your question.
Andrew Nowinski: Great. Thank you for taking the question and congrats on both of your appointments to co-CEO. I wanted to ask a question on your cloud business. So you talked about how cloud is a critical pillar of exposure management. So I'm wondering, do customers understand that cloud security and exposure management go hand-in-hand. And really what I'm trying to get at is like -- how are you thinking about the impact of Google's acquisition of Wiz in the cloud space and do customers want to buy exposure management and cloud together. Does that make sense?
Steve Vintz : Sure. I'll start, and Mark may provide additional color. But in short, the acquisition of Wiz, we think, creates certainly a market opportunity for us. It's clear that Google views Wiz as more than just security business is why we believe in talking to some of these customers that we'll see more innovation perhaps on the Google platform will be used as a means to sell more workloads there than perhaps on other platforms. So we're actively talking to customers in that regard, and we're seeing the outsized growth in cloud. We talked about the record number of large seven-figure deals this quarter. We're seeing a lot of extent opportunities within our own VM customer base, customers that are stepping up buying the larger exposure management platform and cloud is a part of that and their ability to assess other asset types. So if you look at kind of the underlying trends of the business between VM and cloud and specifically exposure solutions, we're seeing a condition of those trends. Real strong growth, certainly in Exposure solutions with outsized growth in cloud and certainly lots of opportunities in our VM business. But we think we're still very early on. And we're continuing to take and win share here and cloud is an important part of the exposure management story.
Mark Thurmond: Yes. And I will just add on to Steve's comments. It's definitely a net positive for us, right? When you have an acquisition of that size to a very dominant player, it does create a bit of uncertainty. And so we definitely have heard that from our prospects and they are coming to us where in the beginning, when Wiz as a standalone, they not have even included certain players in regard to RFPs and to do proof of values and proof of concepts, we have seen over the last 3.5 weeks, an increase in the amount of activity and being invited to participate in RFPs. We have customers that are saying, hey, before this might have been a locked in Wiz deal, we're now opening up. We want to look at options. We have a multi-cloud environment using Azure, AWS, OCI, and they do not want to get locked in. So this is definitely going to be a net positive for us. And one thing I will highlight is this hybrid environment being able to look not just at the cloud environment, but be able to look at holistically these other asset types is a massive differentiator. And that kind of what exposure management and the Tenable One platform is all about. So we view this as a net positive move forward.
Andrew Nowinski: Super. Thanks guys.
Operator: Next question comes from Mike Cikos with Needham & Co. Please proceed with your question.
Matt Calitri: Hey guys, this is Matt Calitri on for Mike Cikos over at Needham. Thanks for taking our questions and I'd like to echo my congratulations to Steve and Mark. On the calendar 2025 guidance cut, van you help us think about how to quantify how much of that impact is in the public versus private sector? And can the move-up market help combat any of this weakness you're projecting?
Steve Vintz: Sure. Well, if you look at kind of the revision to our guidance today, specifically on CCB, we say about two-thirds -- approximately two-thirds is in U.S. public sector. And then obviously, the remaining third is in our enterprise business. Now, look, we had a strong print. We transacted a record number of seven-figure deals. We're seeing momentum at the -- in the enterprise market. We have some of our highest conversion rates than we've ever seen and new business was strong. But we do have to recognize what potentially could come our way. It just feels like there's more uncertainty now since our February call than there was early in the year. And we think this is certainly the right approach to take, and we so see top of the funnel remains strong.
Matt Calitri: Understood. That makes sense. And then just generally in the U.S. federal business, are budgets on hold? Or are there any sort of clarity coming up now there are a couple of months into the new administration? How is FedRAMP impacting any of this? Just any general color would be helpful.
Steve Vintz: Yes, it's really a question of visibility. When we talked at the beginning of the year, we provided an incrementally more cautious approach to our outlook and specifically the U.S. public sector. And that was really due to the change in the administration and the budget of the of the surrounding continuing resolution. And we said we would get less contribution from PubSec first half year, most notably in Q1, and that played out as expected despite this sizable seven-figure deal that we closed on the defense side in Federal. As we look out the rest of the year, I think just more generally -- there's just more uncertainty. There's been a lot of disruptions from a personnel perspective, certainly more so on the civilian side than the defense side, and we're just taking more of a cost approach for the remainder of the year and just assuming longer lead-times here.
Mark Thurmond: Yes. And I think let me just kind of piggyback on that, too. So, -- when you look at what has gone on in regard to some of the DOGE cuts and also some of the leadership changes, right? There have been pretty significant leadership positions within the federal government, especially all on cyber side of the house that have not been filled yet. And so we're seeing a positive top-of-the-funnel build-out, we now are FedRAMP authorized for Tenable One, which is new year coming into Q2. We actually see huge opportunity for the consolidation. The biggest theme that's coming out of the federal government right now is what vendors can save us money. What vendors can consolidate multiple products onto a single platform. So, we actually feel good in the top of the funnel. But it really is what Steve hit on. It is just a challenging environment determining how deals are going to happen, when they're going to actually close, we're going to be processing and doing the mechanics of getting the deal done, and then getting some of these leadership positions done. So, it is just a big gray right now. We are optimistic about the business in Fed and PubSec, but we just need to get a little more clarity to be able to call the business.
Matt Calitri: Very helpful. Thanks so much.
Operator: Our next question comes from Rob Owens with Piper Sandler. Please proceed with your question.
Unidentified Analyst: Great. Thanks for taking my question. This is Ethan on for Rob this afternoon. There's been a lot of promotional industry recently around the potential end of funding for the CVE program. And it seems that the funding has been extended for the time being, but what do you think the implications would be for Tenable or the VM industry more broadly, if we were to see the funding and for that program in the future?
Steve Vintz: Sure. Minor back CVE program, some questions about funding and then we were pleased to see funding get extended for the remainder of the year. I think the big takeaway here is that collaboration is really important. And that's a program that's used as a means to facilitate sharing of vulnerabilities and exploits. I think there will always be a need. We're one of the companies that's able to contribute add CVEs to that national database and program. We recognize that's an important effort. So, we're here to serve and help customers, and we're actively working with members at the highest level both within the public sector, the private sector to see if there's a better approach here. And certainly, the CVE program has had its limitations, right? There's been a proliferation of vulnerabilities. A lot of those vulnerabilities are categorized as critical or very critical. And so we certainly think there's better -- there's an opportunity here. And this is where we like to see better collaboration.
Unidentified Analyst: Appreciate the color.
Operator: Our next question comes from Patrick Colville with Scotiabank. Please proceed with your question.
Patrick Colville: Thank you so much for taking my question. I guess, can I just ask a cheeky two parts. So, Steve and Mark, what are your strategic priorities for the next 100 days as Tenable Co-CEOs? And then the second part, if I may, is I think in 4Q results, you mentioned that PubSec -- U.S. PubSec was 15% of revenue. The guidance cut for 2025 is being largely attributed to U.S. PubSec. Do I have my numbers right? And if not, would you mind correcting me? Thank you so much.
Steve Vintz: Yes. With regard to the latter, U.S. PubSec is approximately 15% of our total sales. And so the revision to the top line today, we said a majority of it -- about two-thirds of the revision is for U.S. public sector. And we said we're also taking a bit of a cautious approach to enterprise where we continue to see great and traction there. With regard to really our priorities here, first, let me say, the Co-CEO structure is one that we're very familiar with and reflects how we've been operating as a company for the past year. We're committed to certainly expanding our market opportunities and to our mandate. Our roots are in vulnerability management, but the outgrowth of that is exposure management. And so with that, there's, I would say, several opportunities. Number one, we're delivering incremental value to customers and so we see a lot of momentum with our exposure management platform. Exposure management platform is a catalyst to higher deal sizes. The ASPs this quarter were very high in part of those seven-figure deals that we announced. And we are using that really as a tip of the spear to be able to consolidate spend in areas like cloud, like web application like OT and other areas. So, that's certainly one bigger opportunity to use the platform as a means to assess other asset types and do more first-party assessments. The second thing is we recognize that the security market is fragmented and there's a lot of players and there's been vendor sprawl. And so -- and no security company possibly assess all these different asset types. So, we're bringing to market here a more expanded version of our exposure management platform. That will include not only our first-party assessment data, but also our third-party data that we can ingest from other security providers, whether it's cloud security, application security, whatever it may be. So, combining third-party data with our first-party assessment data really provides a broader set of exposure data for customers and help them remediate and mobilize their efforts to reduce risk. The last thing here, I will say, is AI. AI is a force multiplier on the types of insights that we can deliver to customers. We think in the years to come, the real competitive moat here for exposure management and AI is kind of central to management is not so much features and functionality, that will be important. But the insights that you deliver to customers. So, aggregating all that data from all those different asset types, both first-party and third-party assessment data to be able to integrate it in a way and combine vulnerabilities for threats and identities is really a powerful offering and means to help customers not only identify risk, where we've historically been focused but help them actually reduce risk, and tied balls to actual fixes. So, you look for more here investments from us an AI, but certainly it's a big opportunity here and really create more competitive and a catalyst for growth going forward.
Mark Thurmond: Yes. No, very, very well said, Steve. Totally agree. And I think when you look at it from a go-to-market to keep it really basic and simple, right? We are going to be focused on continuing to drive the T1 message and positioning with Eric Doerr now joining us from Google, I think you'll see a lot of fantastic innovation on the point that Steve just hit on. When we talk about Tenable One, it is truly a very strong solid story that is resonating in the market right now. The second big piece is going to continue to be cloud, right? So, cloud is part of Tenable One, is the two big areas that we're going to go for from a go-to-market perspective.
Patrick Colville: Terrific. Thank you so much and looking forward to this next chapter.
Mark Thurmond: Thank you.
Operator: Our next question comes from Rudy Kessinger with D.A. Davidson. Please proceed with your question.
Rudy Kessinger: Hey thanks for taking my questions guys. Can you hear me okay?
Mark Thurmond: You're okay.
Rudy Kessinger: Great. Great. Well, congrats both to you on the Co-CEO roles. Hopefully, I'm your last question on public sector, but with the two-thirds of the cut that is being attributed to public sector, I guess I'm curious, is that mostly just from less visibility on new deals? Or have you actually had any contracts that have been canceled or downsized? And if the answer is yes, with what kind of modus did you have that they were being canceled? Did you kind of have a sense or were they kind of out of the blue? Thank you.
Steve Vintz: Yes. So, -- our commentary around Fed applies both to new as well as renewal, but more so the former than the latter. We have a long-standing relationship with the federal government with every three-letter federal agency from defense to civilian to Intel. And so we know this is a foundational piece of their program. As you probably just from looking at the headlines, some of the disruption that we've talked about from a personnel perspective, has been more on the civilian side. And so we've seen certainly lower rental dollars coming out of some of those civilian agencies that are seeing more disruption from DOGE-related actions. But going forward, we just see longer times -- longer lead-times here and cycle-times to be able to close the opportunities. Mark talked about our two newer products, Tenable One and Cloud Security getting FedRAMP authorized. We're seeing certainly a lot of market pull there. And the three things that we're focused on to better serve the federal government, with modernization, that's a big area of emphasis for them consolidation and then certainly more efficiency in the platform, strategy, and approach that we have here certainly creates a lot more utility for a lot of our federal customers. We'll take the next question please.
Operator: Our next question comes from Joseph Gallo with Jefferies. Please proceed with your question.
Unidentified Analyst: Hi, this is [indiscernible] on for Joseph Gallo. Thanks for taking our questions. So, my question is, I guess, can you give us an update on how things are progressing with the channel and where you are on a sales quota capacity basis and how we should think about additional go-to-market investments going forward that you haven't touched upon yet?
Steve Vintz: Sure. Yes. No. When you take a look at the Q1 performance, the channel performed extremely well. I mean the beautiful part of the Tenable distribution models, we are 100% channel, so we do all our business through the channel. So, we saw great momentum in in the channel in Q1, we saw excellent channel business coming in from the partner community. So, that was excellent. We did add sales capacity in Q1, and we will continue to evaluate looking at certain regions, theaters [ph], and countries that are showing signs of growth. And if we see significant growth patterns, those are going to be geographies that we might take a look at adding sales capacity throughout the year.
Unidentified Analyst: Okay. Thanks. Appreciate the color.
Operator: Our next question comes from Joshua Tilton with Wolfe Research. Please proceed with your question.
Patrick O'Neill: Hey, this is Patrick O'Neill on for Josh. Just a quick one for me. Can you talk a little bit about the progress you're seeing with Vulcan and maybe some of those from early anecdotes from customers there and adoption? And then are we still thinking about $5 million contribution from Vulcan for this year? Thanks.
Steve Vintz: Yes. This is Steve. So, yes, we said at the beginning of the year, contributed roughly 0.5 point of growth, that's roughly $5 million. That's more weighted towards the latter part of the year. So, just to be mindful of -- what we acquired here from an IP perspective and -- it's very complementary to our Tenable One platform. We now have the ability to ingest third-party data and findings and metadata from other security providers will be in market with a more expansive Tenable One offering sometime in Q2. So, the plan here is kind of build some of these capabilities natively into our platform and then be in market, sometime over the ensuing months and then we expect the contribution that I just mentioned earlier to be more weighted in the back half of the year. And then obviously, the remediation capabilities is another important part of the platform. So, very complementary to what we do. And we're seeing good traction out of the gate here. But obviously, you had little -- lower contribution in Q1. The one thing I will mention is one of the seven-figure deals that we talked about here was a VM displacement that we had been chasing for really a couple years now. And Vulcan was the catalyst for that displacement. So, we actually displaced the incumbent VM provider who is using us for and now will be turning to us for third-party data, certainly over the ensuing months. And so it certainly creates a lot of expansion opportunities for us.
Patrick O'Neill: Perfect. Thank you.
Operator: Our next question comes from Oscar Saavedra with Morgan Stanley. Please proceed with your question.
Oscar Saavedra: Hi guys. Thank you for taking my question and congrats to Steve and Mark. I guess, for me is just a quick one. It's great to see Tenable One being a strong driver of those large deals that you noted. Last quarter, I believe it was 40% of new business sales was attributed to Tenable One. Any update on how that was this quarter? And on the cloud security side, I think the footprint expansion was like more than doubled in Q4. Maybe an update on that. Thank you.
Steve Vintz: Yes. So yes, Tenable One, first of all, the tail of the tape this quarter and the outperformance was because of Tenable One with traction in cloud and other areas of our business. So, it continues to represent a sizable percentage of our new business. This quarter was notably over 30%. I think Q4 tends to tick a little higher just to budget slash and it just tends to be a seasonally stronger quarter for us. So, certainly seeing a lot of pull for Tenable One. ASPs are higher, anywhere from 50% to 90%. And usually the catalyst for a customer to move to Tenable One is this desire to do VM plus, VM plus cloud or OT or identity or other there. So, certainly pleased with the continued momentum that we're seeing with the platform, and we'll continue to add capabilities. I talked about earlier, specifically with regard to Vulcan short-term, the focus on adding third-party data, be ability to ingest that as well as add remediation capabilities, remediation automation capabilities and mobilization capabilities.
Mark Thurmond: Yes. I mean the only thing I'll add there, too, it's a phenomenal summary is three buckets you really want to think about with Tenable One. Phenomenal, phenomenal positioning in regard to driving Newlife business. Also from a competitive displacement, right? When we talk about those seven-figure deals were the main factors that's allowing us to beat the competition and get into those accounts is Tenable One, so allowing us to do big rip and replace. And then the third is obviously the expansion in the installed base. And so those are the big drivers when you take a look at the Tenable One activity and growth, and we're going to continue to drive that throughout the year.
Oscar Saavedra: Awesome. Very clear. Thank you very much.
Operator: Our next question comes from Kingsley Crane with Canaccord Genuity. Please proceed with your question.
Kingsley Crane: Thank you. Echo my congrats. Thinking about the shift to exposure management, from any companies that include OT, how should we think about that ongoing ramp? And are you more excited about that opportunity versus maybe two to three years ago? And I'm curious what you're hearing from customers?
Mark Thurmond: Yes. You bet. You bet. So, Q1 actually was a strong OT quarter, and we're still seeing momentum there. So, year-over-year growth were strong. Very happy with the performance we're seeing there. And it goes back to the theme that we touched a little bit about every quarter, you're going to see more of a pickup where OT is being more centralized into the Chief Security Officer and to the CIO, they want be able to have that full visibility of the attack surface obviously, including the OT asset. And so this is a driver for us that we still think will be very strong for us throughout the 2025 being able to go in, consolidate, get the OT assets into Tenable One and continue to be a driver for us.
Kingsley Crane: Really helpful. Thank you.
Operator: Our next question comes from Adam Borg with Stifel. Please proceed with your question.
Adam Borg: Awesome and thanks so much for taking the question and congrats on the co-CEO structure. Maybe for Steve, just on both of cyber, I'd love to hear a little bit more on just the R&D priorities and the sales and marketing priorities. It's great to hear that you can be bringing some new stuff to market. But I love to go step deeper there, that would be great. Thanks so much.
Steve Vintz: Yes, I'll talk about the R&D priorities. Mark can chime in on the go-to-market priorities. But it's really pretty straightforward. Vulcan adds -- is very complementary to Tenable One. As I mentioned earlier, it will add third-party data into the platform, we have the ability to ingest data from other security providers. And not just the basic findings, but also the meta data, a lot of the network info who's responsible. So, we talked about this bigger focus on AI. Certainly, that will be a means for us to expand our exposure data on top of the 40,000-plus customers, on top of the 3 million plus users downloads of our [indiscernible] product. So, we believe certainly one of the big moats here going forward for cyber, the ability to deliver exposure management at scale and of all of us from a system of record to a system of action will be AI and Vulcan is an important part that aggregating that data combining third-party data with first-party assessment data. And then the other piece is really tying balls really on the back end to actual fixes in driving and automating remediation ops. That's a really important part of the value chain. There's a lot we can do from that perspective from everything from identifying unmanaged allocations, and devices to then integrating on the back end, the ticketing systems to be able to drive remediation and updates and then closing the loop back into the platform. So, that's a big area of focus for us going forward. Vulcan certainly a means to do so, but it's complementary to our whole exposure management mandate and certainly will help enable a lot of the AI initiatives.
Mark Thurmond: Very, very, very well said. And when you take a look at it from a go-to-market perspective, and we touched on this one, the beautiful thing about Vulcan is we've actually been talking and positioning third-party ingest and automated remediation with our customers for quite a bit of time. So, our sales force and our channel understand this talk track, they understand how these type of third-party as an automated remediation, flows into the Tenable One consolidation story. So, we do not have specialized sellers and specialized SEs. This mainstreamed into our core sales board and is a core sales play that we're out there talking to customers, prospects and channel in regard to what we're doing with Vulcan. And so as I discussed earlier, those two big themes of driving Tenable One and driving cloud security, Vulcan fits perfectly into the Tenable One story.
Adam Borg: Super clear. Thanks again.
Operator: Our next question comes from Trevor Rambo with BTIG. Please proceed with your question.
Trevor Rambo: Great. Thanks for taking my question. This is Trevor on for Gray Powell. So, going back to Tenable One, it was good to hear the positive commentary again around adoption and that cloud security drove a lot of the outperformance. Could you give us some more color on how the rest of the portfolio performed in relation to cloud security in the quarter? And then as cloud security is something that you see going forward that's going to continue to alone within that segment.
Mark Thurmond: Yes. Listen, at the end of the day, when you look at Tenable One, it was a very, very strong quarter and drove a lot of those seven-figure deals, which is outstanding. We touched a little bit in regard to some of the OT assets, was very, very strong also. Cloud security because there was obviously a bunch of very sizable deals and a seven-figure deal that was in there. And we do continue to see that type of activity and be able to security as part of Tenable One. As we discussed earlier, we also are optimistic in regard to the cloud security business, because of some of the M&A activity that we hit on before with Wiz on Google. And so we're already starting to see decent pipeline build from a cloud perspective as part of T1 once that acquisition was itself. Yes, we expect those to be big drivers for us in 2025.
Trevor Rambo: Awesome. Thanks for the color.
Operator: Our next question comes from Shrenik Kotari with Baird. Please proceed with your question.
Zack Schneider: Great. Thanks. This is Zack Schneider on for Shrenik. Thanks for taking the question and wanted to echo our congrats to Steve and Mark. So, I wanted to ask about pricing. One thing we've picked up sort of across the sector is just some aggressive discounting and pricing. So, just curious if this is something you're seeing in customer conversations or if there's been any changes to your pricing strategy? Thanks.
Steve Vintz: Yes. No, we've actually seen no significant changes in pricing. We have been modified or done anything different in regard to our pricing strategies. Obviously, our margins are extremely stable. So, we expect our pricing strategy and the way we're discussing and managing all the different opportunities to remain extremely consistent the way they did in Q1.
Zack Schneider: Great. Thank you.
Operator: We have reached the end of our question-and-answer session. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.